Operator: Good morning. And welcome to Monroe Capital Corporation’s Second Quarter 2015 Earnings Conference Call. Before we begin, I would like to take a moment to remind our listeners that remarks made during this call today may contain certain forward-looking statements, including statements regarding our goals, strategies, beliefs, future potential, operating results or cash flows. Although, we believe these statements are made reasonable based on management’s estimates, assumptions and projections as of today, August 11, 2015 these statements are not guarantees of future performance. Further, time sensitive information may no longer be accurate as of the time of any replay or listening. Actual results may differ materially as a result of risks, uncertainties or other factors, including, but not limited to the factors described from time to time in the company’s filings with the SEC. Monroe Capital takes no obligation to update or revise these forward-looking statements. I will now turn the conference over to Ted Koenig, Chief Executive Officer of Monroe Capital Corporation.
Ted Koenig: Good morning. And thank you to everyone who has joined our earnings call this morning. I’m joined by Aaron Peck, our CFO and Chief Investment Officer. Yesterday we issued our second quarter earnings press release and filed our 10-Q with the SEC. I will first provide a brief overview of the quarter before turning the call over to Aaron to go through the results in more detail. He will then turn the call back to me to provide some closing remarks. We are very pleased to have announced another strong quarter of financial results. For the quarter we generated net investment income of $0.43 per share comfortably covering our second quarter dividend of $0.35 per share. This represents our fifth consecutive quarter adjusted net investment income has covered our dividend. Our consistent dividend coverage separates us from the pack in an environment where a large percentage of the other BDCs have either cut their dividends or have been unable to generate net investment income in excess of their most recent dividend. Furthermore, we are gratified that we are able to generate the strong quarter of per share net investment income and dividend coverage in a quarter when we completed a public offering which generated net proceeds of approximately $40 million. Despite the timing drag typically associated with putting fresh capital to work in the quarter, we were able to generate significant earnings performance and cover our dividend with room to spare. Our book value per share increased again to $14.18 per share as of June 30, a $0.07 per share increase from the book value per share at March 31, primarily as a result of our recent accretive capital raise and earnings in excess of the dividend paid this quarter. I am now going to turn the call over to Aaron, who is going to discuss the financial results in more detail.
Aaron Peck: Thank you, Ted. Our investment portfolio continues to grow and we have continued to generate high-yielding opportunities which, has allowed us to maintain a high level of weighted average yield in the portfolio. As of June 30, our portfolio was at $282.5 million at fair value, an increase of approximately $30 million since the prior quarter end. Our portfolio continued to grow and as of July 31, it was at $303 million of principle amount, a $16.3 million increase from June 30. At June 30, we had total borrowings of $49.7 million under our revolving credit facilities and SBA debentures payable of $40 million. The reduction in outstanding under the revolver are the result of the application of the proceeds from our recent capital raise which were used initially to pay down the balance. We would expect to redraw on a revolving credit facility during the third quarter to fund our continued portfolio growth. To that end, we recently announced an increase in the capacity under our revolver to $135 million, a $25 million increase under the accordion feature of the credit facility. As of June 30, our net asset value was $176.5 million, which increased from the $135.9 million in net asset value as of March 31 primarily as a result of our recent capital raise. On a per share basis, our NAV per share increased from $14.11 at March 31 to $14.18 per share as of June 30. Turning to our results, for the quarter ended June 30, net investment income was $5.1 million or $0.43 per share, a decrease of $0.01 per share when compared to the prior quarter. At this level, we continue to comfortably cover our quarterly dividend of $0.35 per share. Additionally, this quarter we generated net income of $5.1 million or approximately $0.43 per share, an increase from the net income in the prior quarter of $0.41 per share. Looking to our statement of operations, total investment income for the quarter was $9.5 million compared to $8 million in the prior quarter. The increase in investment income is primarily as a result of our recent asset growth. Total expenses of $4.4 million included $1.3 million of interest and other debt financing expenses, $1.2 million of base management fees, $1.3 million of incentive fees and $741,000 in general administrative and other expenses. Of the $1.3 million in interest and other debt financing expense, approximately $947,000 was cash interest expense with the remainder representing non-cash amortization of the up-front cost associated with establishing our credit facility and our SBA debentures, as well as the interest expense associated with the secured borrowing recorded under ASC 860. Turning to the portfolio, during the quarter we began to put to work the proceeds from our recent capital raise by investing in a combination of proprietary direct originations and more liquid club and syndicated loan transactions. Many of the new liquid investments were second lien assets as we saw attractive opportunities in that part of the market. We would expect to sell portion of these liquid assets in the future as we seek to optimize our portfolio. Our expectation is that future optimization of the portfolio will likely result in the increase of first lien loans as a percentage of our total portfolio from today’s level. As for our liquidity, as of June 30, we had approximately $60 million of capacity under our revolving credit facility. As previously stated, we increased the availability under the revolver to $135 million on July 31, which increases our pro forma availability to $85 million as of June 30. Our SBIC debentures were fully drawn at $40 million at the end of the quarter. We continue to experience portfolio growth during the month of July and our current pipeline of yields scheduled to close this quarter is extremely strong. I will now turn the call back to Ted for some closing remarks before we open the lines for questions.
Ted Koenig: Thank you, Aaron. As Aaron mentioned, the current pipeline for all of the funds managed at Monroe is as large as I can remember. Our focus on proprietary national low and middle market origination has continued to provide our funds with unique attractive investment opportunities with high risk adjusted returns. We have grown our quarterly adjusted net investment income per share on a year-over-year basis up by $0.08 when compared to the second quarter of 2014 during the time when many of our peers have experienced declining net investment income trends. We attribute this to our differentiated origination platform in the depths of the entire Monroe Capital platform which has supported a high effective yield on our portfolio at a time when many others have experienced declining yields. We remain very excited about our company’s prospects with a dividend yield greater than 9% fully supported by net investment income and a stable book value. We believe that Monroe Capital Corporation provides a very attractive investment opportunity for our shareholders and investors. Thank you all for your time today. And with that, I’m going to ask the operator to open the call up for questions.
Operator: [Operator Instructions]. And our first question comes from the line of Bob Napoli with William Blair. Your line is now open.
Bob Napoli: Good morning, nice quarter again, well done. Question on the, the credit quality of the portfolio looks very stable. What are your thoughts Ted on, what concerns do you have at all I mean, at this point in credit, what are your thoughts on the economy, what do you most alert for in looking for challenges in your current portfolio?
Ted Koenig: Thanks Bob for the comments. Our portfolio today is very, very strong. As I think you’ve seen we have won asset on net accrual, that’s a very small asset that’s been there for some time. Everything else is performing based upon the numbers that I see regularly, I like where we stand right now in the cycle. As Aaron mentioned in his comments, we continue to be predominantly first lien, focused. And we did some second lien in the quarter to put some money to work on a temporary basis but I imagine as Aaron said, we’ll rotate back out of that again. I think that the market is pretty good. There is a lot of competition, there is a lot of dollars in the market there is a lot of debt. But I’ll tell you, the interesting thing about this quarter different than last year is, there is more activity there is more deal activity. We’ve seen a lot more M&A activity both sponsor backed and non-sponsor backed. So, unless there is some type of an external shock to the system, I think we’re set here for the next 12 months in a pretty good spot, even if rates increase slightly else that is a headwind into the deal activity. I think that the third quarter and fourth quarter will be strong quarters for us.
Bob Napoli: Okay. And then, I think you made your first investment in Aerospace, at least in the BDC. Is that a new initiative for you guys on the aerospace market?
Ted Koenig: Not really, we continue to be opportunistic. When we see a good deal, we’re going to go after it. We’ve got, as I mentioned in my prepared comments, we’ve got as large of a pipeline as I’ve ever seen in our business in August, part of the year. Traditionally the fourth quarter is our busy time. We’ve got roughly 20 transactions in our pipeline right now that we’re in diligence on and moving towards closing.
Aaron Peck: Let me just add one thing.
Bob Napoli: Sure.
Aaron Peck: Investment you’re asking about is not really in aerospace investment, it’s called Aerospace & Defense as the industry but it’s really because they sell in the Defense market. They make chemical luminescence glow-sticks for military operations and training. So, it’s not really an Aerospace investment per say.
Bob Napoli: Okay. And then, last question just on the SBA debentures which I think you’ve fully drawn down the SBA debentures. Any progress in getting, working with the SBIC and getting that expanded?
Aaron Peck: As you probably know there has been a pretty heavy effort from the lobbying groups that deal with SBIC funds that we’re an active member of to go to the hill, and Ted and I were on the hill not too long ago, with a group talking to both sides about this probability. I think there is universal support on both sides of the house to get something done here, to expand the family funds limit. And there is a bill pending, and I think we just sit and wait, I don’t know Ted if you have anything you like to add?
Ted Koenig: No, well, the good news is cleared committed in both houses. So when that happens, usually things get passed. I think right now I’m told that we’re waiting for some type of an agreed bill that’s going to get passed or this is going to get tacked on to, so we’ll have to wait and see.
Bob Napoli: All right, thank you.
Operator: Thank you. Our next question comes from the line of Mickey Schleien with Ladenburg. Your line is now open.
Mickey Schleien: Yes, good morning Ted, and Aaron. Ted, last quarter I asked you about how you felt in terms of where we were in the economic cycle. And I think your answer was pretty late inning, maybe ace inning. And since then, if anything the news has become even more mixed sort of confirming I think what your thoughts were last quarter. How is that affecting what you’re expecting to do in terms of the portfolio for the third and fourth quarter and going into next year?
Ted Koenig: Well, on the last call I think I said, I believe we were in the eight inning of the credit cycle.
Mickey Schleien: Yes.
Ted Koenig: And I still believe that we’re at same points we’re in probably in 2006 for those of us that are old enough to remember that. I think that the goods news is that the deal market is stable, multiples are high, private equity funds have lots of capital to deploy and financing is plentiful, that’s usually a good combination for transactions. I think that for us, I see a lot of opportunity I see lots of deals are originators, we have almost 20 originators across the country in eight offices and everyone is busy. For us, we’re going to stick to our discipline. I think in response to your question and Bob’s from a minute ago, the best thing we can do is stay disciplined. And there is going to be some transactions that we’re going to pass on because we don’t feel we’re getting appropriately rewarded in pricing. And there are some transactions we’re going to pass on because we feel leverage multiples are too high. But again, as a platform we see 2,000 transactions a year. And my guess is we’ll end up doing somewhere between 40 and 50 this year on a directly originated basis which is a pretty good year.
Mickey Schleien: Okay, I appreciate that. In terms of comment Aaron made on the second lien which increased pretty meaningfully in the quarter, I see that yields in that segment were down about 70 basis points, at least in your portfolio. And a lot of other folks have commented is that they just don’t see the value there. So, I’m trying to reconcile why are you parking money there as opposed to maybe higher up in the capital structure?
Aaron Peck: Yes, that’s a great question. I think generally I would agree with the market that the opportunities in the second lien space are tampered in terms of the liquid market. So you have to be very disciplined. And so, if our origination strategy was to buy in some markets secondly like some of our peers that their really their main origination strategy, I would be concerned because the deal flow is such that there is only a sort of finite number of decent opportunities to put money to work in more liquidly. Secondly is that we think we get fair risk-adjusted return. We happen to be in a position where we could pick and choose the ones that we thought made the most sense because we were just putting a little bit of money to work on a temporary basis. And the idea and strategy is over time to rotate out of those as we discussed into the proprietary side of the business. So, on the first part of your question, I agree that the market is not as robust in terms of opportunity and yield in the second lien space. And we take the deals that we knew well or had spent some time on and felt comfortable with. And they were sort of I won’t call needle in a haystack but they’re probably five or six deals out of 100s that were out there that we thought made sense for the portfolio. Now as for why we didn’t go down or go up in quality into the first lien space, in the liquid market? The answer is really risk reward. When we look at second lien and first liens, we think about what risk are we taking and is it binary or is it not binary. And a lot of times, when you look at opportunities, sometimes you get paid extra yield in the second lien and you haven’t really increased the risk a lot. And we also looked at the market and the first lien syndicated loan market was thin, there wasn’t a lot to find that made sense. And we want to put money to work at every, on every term we want to put money to work that is accretive for shareholders. And so, putting that money to work in LIBOR plus 400 assets which is what was available in the marketplace isn’t a benefit for shareholders because we pay management fee on assets put to work. So, we’ve got to find assets that make enough yields to make it accretive for shareholders. And this wasn’t a great opportunity in the first lien market to find a lot of opportunities in syndicated and club loans that were liquid. And so that’s why we chose the loans we did in the second lien space.
Mickey Schleien: Okay, I think I understand. And the ones that you did do then are liquid enough to where you can get out of them in 30-60 days and do the, focus on the unitranche and other deals that are interesting to you?
Aaron Peck: That’s correct.
Ted Koenig: Right. Mickey, we essentially found a handful of loans that we really liked, yes, we invested in. That’s kind of the way we do things. We’re not going to do anything that we don’t believe is a good trade for us.
Mickey Schleien: Okay. Just a couple of last questions, can you, what’s the investment thesis on Ansert’s [ph] Corporation and is the markdown of TPP acquisition due to company performance or is there a quote out there that you need to reflect?
Aaron Peck: Sure. Ansert is the name we have followed for a long time, that’s a more liquid asset. It’s a name that we’ve been in and out of actually in this portfolio as well. And it’s a name that we know very well and it’s a company that think is very strong and performs very well. We’re a little bit mystified by the trading quotes on that name right now, we don’t think there is a lot actually trading but we did fair-value based on some activity and verifying as the quote to the market did seem actionable. And so we did take a temporary write-down on a pure market basis, market growth basis. But it’s a name that we’ve known for a while and like, and we think they’re well suited and they’ve done well against some of the things that have changed in the market. We think some of the market down came as a result of an unexpected change in Google’s algorithm that people were worried about. We’ve spent a lot of time in the deal and we feel they’re well-structured and are in a position to do well with the change in the algorithm for Google. But that’s a name we’re going to have to obviously watch and monitor because it did quote down. And we’re watching it carefully. But we don’t see any real credit degradation there. As for TPP, that’s the proprietary direct deal. That’s not a liquid deal. And so, we did see a change in the market there on a fair value basis. The company is going through a turnaround. And we’re actively engaged and involved in helping the company make the turnaround. There is a lot of good things happening for that company in the third and fourth quarter of this year, which unfortunately when you fair-value something, it’s difficult to really get the benefit of what’s to come. You really, usually look backwards when you think about fair-value and when we work with our independent valuation firms. So, while we see some positives on the horizon for that company with new store openings and some improvements, it’s not really reflected today in the fair value. So I think we’re hopeful that as the year progresses, we’ll see that company’s performance improve and be able to sort of see a change in the valuation to the upside.
Mickey Schleien: Okay, I understand. Congratulations on a great quarter. Thanks for your time.
Aaron Peck: Thanks Mickey.
Ted Koenig: Thank you, Mickey.
Operator: Thank you. Our next question comes from the line of Christopher Nolan with MLV & Company. Your line is now open.
Christopher Nolan: Hi guys, is there, given that you are easily covering your dividend and you have very little balance sheet leverage. What’s the philosophy operating here, I mean, is the intent to keep operating leverage relatively low as long as you’re able to cover the dividend or do you have a particular threshold for internal NAV. I mean, how are you guys looking at this?
Aaron Peck: Yes, good question, Chris. The answer to your first question is, no, I don’t think we’re necessarily actively keeping the portfolio under-leveraged because we’re earning the dividend with our current NII. I think the viewpoint is that we want to be appropriately leveraged for the asset mix which would be a higher leverage point than where we were at the end of June. And we will continue to monitor the market activity and what’s happening with our credits, and our unfunded commitments, and things of that nature to stay properly leveraged which we have said historically we think on a regulatory basis is between 0.7 and 0.8 based on the asset mix. And if that drives higher NII over time, then we’ll have to make some decisions about the level of the dividend and the board and management are in close conversations constantly about opportunities with regards to what we do on the dividend. And we’re watching it and watching what’s happening in the market and our portfolio. And we’ll make some determinations in the future about what we want to do on the dividend. But we aren’t holding back leverage because we can cover at our current leverage that’s not the game plan.
Christopher Nolan: Follow-up question, strategically given that you guys are trading at a premium most of your peers are creating a material discount in NAV per share. What are your thoughts strategically in terms of the BDC market is the focus really going to be just on organic growth or are you looking at other stuff like acquiring portfolios or anything along those lines?
Ted Koenig: We’re looking at everything is the answer Chris. We’re having ongoing conversations with lots of parties. And as I’ve said previously my goal was to continue to expand the platform and increase shareholder value. And we’re looking at all of our options in order to do that.
Christopher Nolan: Great. Thanks for taking my questions.
Operator: Thank you. Our next question comes from the line of Dan Nicholas with Robert W. Baird. Your line is now open.
Dan Nicholas: Thanks, good morning guys. Just switching back to the leverage question on, with leverage being kind of wise you talked about now, would you, do you have much of an appetite to add any more liquid placeholders type investments like you did this quarter or do you think that the core kind of directly originated pipeline [indiscernible] or doesn’t make sense going forward?
Aaron Peck: Yes, Dan, good question. I think it’s the latter. I mean, we’ll always look at opportunities in liquid market. And if we see good value there, we will consider liquid assets and we’ll put them on the books if it makes sense, if we see good value. But we do have a very strong pipeline as Ted pointed out in his remarks. And we still feel very comfortable and confident that we’ll have enough opportunity in the direct origination side that we would expect that to be the profounder in what gets added to our balance sheet in the third quarter barring any change, that’s what we would expect. And over time, as I said in my remarks, we would probably expect to rotate out of some of the more liquids, secondly in favor of our direct originated loans because we think it’s a: typically a better risk reward, and b: often can provide better pricing. And so, I do think that you’ll see that part of our portfolio grow as we get into the third quarter.
Dan Nicholas: Okay, got it. And in terms of yields in the directly originated portfolio that kind of stable, or are you seeing any real change there?
Aaron Peck: Yes, it’s a good question. I mean, I think if you look at the portfolio, you’re probably seeing some slight slippage in the yield that we were able to generate in the quarter on a blended basis. And so, there has definitely been yield pressure in the market, there will definitely be some rotation of yields. As you see some of the loans that we did sort of two years ago, two and half years ago, when we first went public, this is a natural order of things in our businesses that we’re sort of in prime prepayment time. Just on an average basis, our loans tend to stay out between two and three years. And so, you’ll see some of those higher priced loans, some of them will probably repay. And the market opportunity today is probably a little bit more competitive than it was then. And so, I think it’s reasonable that we should see some, we would expect to see some decline in yield, I’m not talking about hundreds of basis points but I think the market opportunity today is definitely a little bit more challenged on the yield basis than it was two years ago, three years ago, when we just launched. So, we definitely are seeing some yield compression but we still feel comfortable with our pipeline that there is significant yield opportunity for us to continue to put money to work accretively.
Ted Koenig: I don’t see that as a big issue Dan.
Dan Nicholas: Got it, okay. Good quarter, thanks guys.
Operator: Thank you. [Operator Instructions]. And our next question comes from the line of Christopher Testa with National Securities. Your line is now open.
Christopher Testa: Hi good morning, thanks for answering my questions today. I just wanted to know, I’ll just again with the junior secured loans that you have a large increase in, just my questions are how many different companies were those loans made to and how long are you looking to keep those as placeholders, is there still a good pricing opportunity there or it was just kind of a one-off deal?
Aaron Peck: Yes, good question, Chris. I mean, if you pull up our scheduled investments when you have a chance to study that a little bit, in the 10-Q you can get a look at the loans that are in there. There is a pretty wide variety of loans that, there are five, six, seven loans that we made in the period that were more liquid, not everything in this second lien bucket in our SOI is considered liquid so some of them are not. So, when you look at it, you’ll see names like Mud Pie, that was a directly originated second lien opportunity, it has very nice pricings, very good company, that’s not a liquid asset, that’s the one we would expect a whole for the long-term. Physiotherapy is a little bit less liquid, it’s liquid but less liquid and that’s the one that we thought was a good long-term hold. And when you look at the list, comfy to growth is definitely liquid but it’s the name we’ve had in the portfolio for a couple of years and continue to add to it, it’s a great business, we really like it. The other ones are more liquid and some of them have lower yields, some as low as 7.5 and 8 and 8.25. Those are the assets that I would expect that over time we would likely liquidate in favor of directly originated loans. And there are plenty liquid. And there is plenty of opportunity to do that. And it’s a pretty granular portfolio when you look at it at the second lien portfolio.
Christopher Testa: Okay, great. And do you think that there is still these opportunities that are presenting themselves or you’ll be able to use these as placeholders going forward or was this just pretty much the only quarter where you should expect to see that type of volume pick up in the second lien portion?
Aaron Peck: I don’t ever want to say definitively but our expectation is that most of the origination going forward would be indirect originated assets now, things can change. Our job is to put money to work for shareholders, to create best shareholder value of return. And if there is a dislocation for example in the liquid markets and we see opportunities there, we’ll take advantage of it for shareholders. But all other things being equal, I would expect to see this portion of the portfolio to stable or declining. And the direct originated part of the portfolio growing.
Christopher Testa: Okay, great.
Ted Koenig: That happens Chris, that happens from time to time and it could be week to week, it could be month to month where opportunities come up in the second lien market. Because of the relationships we have and the depths, the amount of business we do as a platform, we have opportunities to do these clubby second liens that generate some nice yield at good leverage attachment points. And I suspect that from time to time we’ll take advantage of those relationships.
Christopher Testa: Okay, great. And just with regards to the unrealized depreciation on the unitranche loans grew a bit this quarter again. Are there any specific factors driving that, I took a look through, I know Fabco Automotive has a pretty big cost to fair value disparity, again realized loss with it. Is there anything going on there within that bucket that’s driving those?
Aaron Peck: Not really, I mean, it’s been relatively stable actually quarter-to-quarter. The only one that really moved in any measurable ways, the one I already addressed it was TPC acquisition. Fabco actually was pretty stable from last quarter. That company is doing fine, it’s stable, it’s definitely a turnaround story it has a great sponsor who’s put money in. And we definitely see some visibility in the future for that company to see improvement. But outside of that, it’s actually not been that, there hasn’t been that much movement. And when you look at the portfolio on a whole mark-up to mark-down, we’re pretty much flat this quarter. We didn’t see any measurable net change in value. So, that’s kind of the job, right. I mean, when you’re - that’s kind of part of our thesis in how we go about this investing. We go in and invest in assets. We from time-to-time make some small equity bets or get some equity upside. We know as a lender that your best case scenario is to get your money back. And in certain instances you might not and so we marry that with some one-off opportunities on the equity side, and some prepayments and other things. And we hope and think over time that we’ll either stay flat or improve in terms of the total mark on the portfolio based on those factors together. And that’s proving out.
Christopher Testa: Okay, great. Thanks for taking my questions guys.
Aaron Peck: Thanks, Chris.
Operator: Thank you. And I’m showing no further questions at this time. I would like to turn the conference back over to Mr. Ted Koenig for any closing comments.
Ted Koenig: I just wanted to thank everybody for the time today. Keep watching. I think that based upon where we sit I expect good things to continue to happen for MRCC. So, thanks again.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude today’s program. You may all disconnect. Everyone have a great day.